Arnold Donald: Good morning, everyone, and welcome to our second quarter 2017 earnings conference call. I am Arnold Donald, President and CEO of Carnival Corporation & plc. Thank you all for joining us this morning. Today, I'm joined by our Chairman, Micky Arison; David Bernstein, our Chief Financial Officer; and Beth Roberts, Senior Vice President, Investor Relations.
 Before I begin, please note that some of our remarks on this call will be forward looking. Therefore, I must refer you to the cautionary statement in today's press release.
 We achieved record second quarter adjusted earnings of $0.52 per share. That's on top of last year's previous record-setting second quarter, and we exceeded the midpoint of our guidance by $0.07. Our second quarter results, combined with our strong booked position, enabled us to again increase the midpoint of our previous full year guidance range and raise our full-year earnings expectations to a range between $3.60 and $3.70.
 Year-over-year, for the second quarter, despite a $0.12 drag from fuel and currency both moving against us, strong operational improvement contributed $0.13 per share to the bottom line, which when combined with $0.02 of accretion from our share repurchase program, enabled us to exceed the prior year second quarter and the high end of our March guidance range.
 The efforts of our more than 120,000 employees around the world who deliver exceptional guest experiences every day, combined with the support of our valued travel agent partners, propelled our strong financial performance.
 Constant currency revenue yield growth this quarter exceeded 5%, on top of the 3.6% improvement achieved in the second quarter last year. Our consistently strong revenue improvement continues to be driven by increasing demand in excess of our measured capacity growth through our ongoing guest experience, marketing and public relations efforts. And as previously indicated, we have many efforts underway to keep the momentum going throughout 2017 and beyond. 
 Our new ship deliveries continue to receive worldwide media attention and create more demand for cruising. We had 2 major ship deliveries this quarter. The luxurious Majestic Princess, or known by the Mandarin name of Sheng Shì Gong Zhu Hao, the first international ship in the premium category tailored for the China market. Majestic features the largest shopping experience at sea, high end and unrivaled, again an experience tailored for Chinese preferences and many other distinct pleasures for our Chinese and our international guests. She began her inaugural season in Europe before embarking on a momentous voyage along the Silk Road Sea Route, in support of the one belt, one road initiative, to her new home port in Shanghai. On July 9, we will inaugurate our first season in China with a celebration that is sure to attract a lot of attention in Mainland China. 
 Creating further awareness for cruising in Asia, we also delivered in Nagasaki AIDAperla to our AIDA brand for Mitsubishi Heavy Industries in a traditional Japanese ceremony. This ship will be in Palma de Mallorca, where she will be christened by German model and presenter, Lena Gercke, next weekend. AIDAperla is the sister ship of the very successful AIDAprima, which recently celebrated her first birthday in a tremendous fireworks display and a brilliant live show in the Port of Hamburg witnessed in person by over 1 million people. AIDAperla and AIDAprima bring many innovations to our industry as the first 2 cruise ships to be powered in port by liquefied natural gas as well as many experiences tailored to AIDA's exclusively German guests, including a microbrewery, a lazy river, climbing wall and an expansive German spa.
 During the quarter, progress continued on our fleet enhancement program with the sale of the Pacific Pearl in April. We're in conversations for additional ship sales and expect to remain on track with our historical pace of removing an average of 1 to 2 ships per year from our fleet.
 Another great vehicle to drive demand for cruising is new destinations. Following our historic maiden voyage to Cuba by Fathom under the [ 12 approved forms ] of travel guidelines, Carnival Cruise Line will embark its first voyages to Havana in just a few weeks, also under the same guideline. Carnival Paradise sailing from Tampa is receiving attractive premiums for this in-demand destination. Our premium experience, Holland America Line, also recently received approval to sail to Cuba with Veendam calling at both Havana and Cienfuegos beginning in December this year. Over time, we expect more of our brands to join Carnival and Holland America with sailings to Cuba.
 We continue to make progress on destination development to further enhance our guest experiences and are exploring new port developments, such as our recently proposed development on Grand Bahama Island. Port development is another way in which we use our industry-leading scales to create meaningfully distinct greater guest experiences. We have and will continue to create carefully engineered, high-quality destination experiences that are uniquely tailored to our guest preferences. From our private islands like Princess Cays and Half Moon Cay, to the planned expansion of our cruise terminal in Barcelona, to our most recently completed port destination, Amber Cove, in the Dominican Republic, we are providing exceptional guest experiences that enable our brands to capture a price premium. We have many more innovations planned in port development that we expect to roll out in the coming years.
 Of course, we have additional efforts underway to drive demand for our existing fleet by elevating our already high guest experience. Our recently announced Ocean Platform, featuring Ocean Medallion, continues to go on a tremendous media interest with well over 16 billion media impressions year-to-date. We remain on track to launch our first ship with the Ocean Platform, Regal Princess, in November, ushering in a new era in highly personalized travel at scale. 
 Focusing on the U.S. market for a moment. Our ocean original media content portfolio is now featuring 4 proprietary award-winning shows and has already aired over 70 hours of programming on major networks including ABC, NBC, A&E and the CW, combined with our original content distribution on many more digital video on-demand platforms, including Hulu, XFINITY, U-verse, DIRECTV, and Armed Forces Network just to name a few, these programs have now reached over 115 million viewers to date. Importantly, market research indicates these shows have notably increased consideration for cruising overall and favorability for our brands. In fact, a recent study on U.S. travel trends indicated business-to-cruise websites are now at a historical high of 32% year-over-year and nearly double that of 2014.
 In addition, the Reputation Institute just ranked Princess, Holland America and Seabourn as the top 3 brands in the cruise industry, with Seabourn leading the entire hospitality sector for brand reputation. At the same time, Carnival Cruise Lines was, for the third year in a row, named the most trusted cruise line in America by Reader's Digest. 
 I would also like to acknowledge Carnival Corporation's recent ranking in the top quartile of the 100 Best Corporate Citizens by Corporate Responsibility Magazine as well as the recent recognition our sustainability report received being ranked #1 globally. Both of these are manifestation of the hard work our teams all around the world have put forth to achieve our sustainability results.
 In addition to our relentless efforts to increase demands for cruising, we expect to benefit from structural long-term tailwinds, including growing populations, increasing wealth in developing countries and importantly, in a number of markets, increased spending by consumers on experience versus products, all of which are contributing to the 4% annual growth expected in travel globally. Our well-known brands, our phenomenal guest experiences and our great vacation value proposition all position us well to capitalize on these trends in every market. In fact, a recent study by ASTA indicates that the millennial generation not only spends more on travel than the baby boomer generation, but is also more likely to cruise. Recent polls acknowledge both Holland America and Princess as top brands with the millennial generation.
 During the quarter, progress continued on our many efforts to leverage our industry-leading scale, including our powerful new revenue management system, which has been rolled out across 6 of our brands to approximately 1/3 of those brands' inventory. The system development is encouraging collaboration among our 70-plus revenue scientists and experts across our brands as they take advantage of the dynamic and insightful pricing inquiry that the tool generates. While we have already enjoyed some benefits from the sharing of best practices during the design phase of the new tool and are seeing yield uplift in this ramp-up period, we expect even greater benefit in 2018 and beyond as the system is fully rolled out. 
 While at the same time, work continues on our efforts to contain cost. We remain on track to achieve an additional $75 million this year for accumulative savings of over $265 million to date. We have increased our full-year cost guidance slightly to reflect additional investments to be made later this year as our brands have identified further revenue-generating opportunity. As we've indicated before, we will continue to invest in opportunities we see that drive revenue and return on invested capital, over time. 
 Also, the success of our various efforts is evidenced by the improved second quarter results, combined with continued strength in booking trends, which have accelerated progress on our path towards double-digit return on invested capital and enables a step-up in shareholder distribution. 
 During the last quarter, we increased our regular quarterly dividend from $0.35 to $0.40 per share, now distributing nearly $1.2 billion of recurring dividends annually. At the same time, our board increased our ongoing share repurchase authorization back to $1 billion, having been depleted throughout $2.7 billion of cumulative repurchases since October 2015.
 We plan to continue to increase returns to shareholders with our cash flow, reaching record levels and growing as we approach the same double-digit return on invested capital.
 Again, there are under-penetrated cruise markets all over the world. Our new ships, including Majestic Princess and AIDAperla; our ongoing innovative guest experience efforts, including Ocean Platform; our aggressive efforts to increase consideration for cruising, including our proprietary ocean original content programming; our new destination opportunities in Cuba, in the Bahamas and in China; and our recently launched yield management tool, are all multiyear opportunities that are intended to continue the momentum and to build further confidence toward our sustained delivery of double-digit return on invested capital.
 With that, I'd like to turn the call over to David. 
David Bernstein: Thank you, Arnold. Before I begin, please note, all of my references to revenue, ticket prices and cost metrics will be in constant currency unless otherwise stated. I'll start today with a summary of our 2017 second quarter results, then I'll provide some insights on booking trends and finish up with an update on our full year 2017 guidance.
 Our adjusted EPS for the second quarter was a record $0.52. As Arnold indicated, this was $0.07 above the midpoint of our March guidance. The improvement was revenue driven, as increase in the ticket yield benefited from stronger pricing on closed-in bookings on both sides of the Atlantic, while on-boarding other yields continue to benefit from a variety of our ongoing initiatives. 
 Now let's turn to the second quarter operating results versus the prior year. Our capacity increased almost 4%. The North American brands were up almost 6%, while the European, Australian and Asian brands, also known as our EAA brands, were up slightly. Our total net revenue yields were up 5.1%. 
 Now let's break apart the 2 components of net revenue yields. Net ticket yields were up 5.7%. This increase was driven by our North American brands deployment in the Caribbean, Europe and Alaska as well as our EAA brands deployment in both Europe and the Caribbean. These increases were partially offset by decreases in our China deployment as previously indicated.
 Net onboard and other yields increased 3.5%, with increases on both sides of the Atlantic.
 In summary, as Arnold indicated, our record second quarter adjusted EPS was better than last year's previous record-setting second quarter, with strong operational improvements of $0.13 and the $0.02 accretive impact of the stock repurchase program, both being partially offset by the impact of higher fuel prices costing $0.11 and the unfavorable impact of currency worth $0.01. 
 Now let's turn to booking trends. Since the end of February, booking volumes for the next 3 quarters have been running in line with the prior year at nicely higher prices. At this point in time, cumulative bookings for the next 3 quarters are ahead of the prior year, again at nicely higher prices. 
 Let's drill down into the cumulative booked position. First, for our North American brands. The Caribbean and the seasonal European program are both well ahead of the prior year on both price and occupancy. While for Alaska, occupancy is in line at nicely higher prices. Secondly, for our EAA brands, our European deployment and the seasonal Caribbean program, occupancy is ahead at nicely higher prices. 
 Finally, I want to provide you with an update on our full year 2017 guidance. As Arnold indicated, our second quarter results, combined with our strong booked position, enabled us to again increase the midpoint of our guidance and raise our full year earnings expectations to a range between $3.60 and $3.70 versus $3.45 for 2016. The improvement was driven by an increase in our net revenue yield guidance to approximately 3.5%, a half point increase, reflecting the impact of stronger pricing on closed-in bookings during the second quarter and slightly higher onboard and other yields. This was partially offset by a slight increase in our cost, as for example, we planned increased investments in our 4 proprietary television programs as well as advertising efforts to continue to optimize booking momentum for 2018 and beyond. As a result, net cruise cost without fuel per ALBD is now expected to be up approximately 1.5% for 2017. 
 And now I'll turn the call back over to Arnold. 
Arnold Donald: Thank you, David. Operator, please open the call for questions. 
Operator: [Operator Instructions] And our first question comes from the line of Steve Wieczynski with Stifel. 
Steven Wieczynski: I want to ask about the embedded fourth quarter yield guidance, which looks like you're expecting yields to be up, at this point, only slightly. I know last year, I think you had a pretty strong fourth quarter, with yields up about 4%, and I think there was about 100-basis point benefit from that accounting change last year. So I guess the question is, can you help us understand your thought process around your key markets for the fourth quarter? I just -- I guess I would've expected a number a little bit higher than that. 
Arnold Donald: Thank you for your comments. Look, I would say, as you just said, we had a tougher comparison versus last year in the fourth quarter, but our guidance is always our best projection of the future. There are nearly always unexpected challenges and we thought to anticipate that and our EBITDA adjusted to the change of circumstance. But fundamentally, our guidance has remained the same. We added into, as we raised the midpoint of the full year guidance, we added the gains to-date and left the guidance going forward the same. It is not any more complicated than that. 
Steven Wieczynski: Okay, got you. And then, second question. I guess in your prepared remarks, you didn't really give a lot of color around the Chinese market. Can you just maybe give us an update there in terms of what you're seeing and how the changes that we know, with Korea and stuff like that, have impacted your ability for -- to take price? And then maybe, also, just comment on Majestic Princess. I know that the ship, it was built specifically for China, but it seems like you've decided to remove it for a couple of weeks. And again, I know that's their slower winter months, but is there anything else that drove your decision to move that already? 
Arnold Donald: Overall, again -- thanks again for your question. For China, overall, as you know, it's a relatively small percent of our current capacity. As we said in the past, it's an embryonic market, it's a B2B business. So the fact that the Chinese are not currently traveling to Korea, we believe, aggravated our situation there in terms of yield and bookings and what have you. But honestly, at this point, because it is a B2B market, there's still always some negotiations between the trade and the cruise companies likes ourselves. So we believe it had an impact, and the cases would suggest that, but at this point, we can't concretely say Korea produced any effect. But we suspect it did. In terms of overall, look, China is still going to be probably the largest cruise market in the world, over time. It's an embryonic market. It's very small today. Concerning your question on Majestic Princess, we're very excited about Majestic Princess. She is the first purpose-built ship for China. We're excited about the naming ceremony coming up in Shanghai in July. We're really looking forward to that. And in terms of our itinerary planning, we always optimize deployments. And we see the opportunity for Majestic Princess to not only be home ported in China, but also to take travelers from China on fly cruise to other destinations as we do with national dedicated ships in many of our brands. And so we just see that as a way to optimize the first-year deployment and an opportunity to build the appetite for cruising in China, both fly cruise as well as home porting and local destination embarkation. So I hope I answered your question. You can pull this if I missed a part. 
David Bernstein: Yes, the only thing I'd add to that is, we talked about the challenges in China. But the recent sailings have been at very high occupancy levels and so we were very pleased with that. 
Operator: Our next question comes from the line of Robin Farley with UBS. 
Robin Farley: I wanted to focus a little bit on the comment about volumes during the second quarter, that they were in line with last year at prices well ahead. Because I know that investors are always worried that -- would that be due to demand not being higher than last year? Or maybe you can clarify, is that just because you'd rather get higher price and that you don't want to be any further booked ahead than you were at this time last year? In other words, can you comment on how we should be interpreting that? Like is that a function of your yield management strategy that, that's actually what you're worth striving for? Or are you just sort of saying, it's [indiscernible]. 
Arnold Donald: I'm sorry. Go ahead, Robin. Continue, please. 
Robin Farley: I think also, just with a couple of security incidents in Europe, the investor concern might be like is that impacting demand. So maybe you can clarify if it's that or if it's, in fact, that you'd rather get the higher price and didn't want to be further ahead in volume. 
Arnold Donald: Yes. So first of all, yes, absolutely, we haven't been able to measure any kind of impact from the various geopolitical issues and events in Europe and that sort of thing. So we haven't seen any lost momentum. We see strong momentum in the business all the way through. It's very early to be talking about first half of next year. But through the first half of next year, we're up on occupancy, up on pricing against a very tough comparison because, obviously, a strong year this year and a strong year last year. So lost momentum in the business for certain. Your comment about optimization of the booking curve, looking at price versus volume at different points and times and the booking curve is absolutely true. We have our new revenue management tool for a number of other brands and we are constantly always optimizing across 10 brands, across multiple source markets and itineraries. And so that is a fair comment. But with regards to momentum in the business, the momentum is very strong. 
Robin Farley: Okay, now that's great. And then, just to clarify a little further on your -- so your guidance for Q3 is higher than what Street expectations were and I think there were concerns about Europe. So the Q3 guidance is great. And I know you tend to be conservative, you're looking at Q4, and you said that's kind of your best guess as of now. But just trying to think about -- I mean, you guys have nicely beat your guidance every quarter lately. And so when we look at your guidance for Q4, I'm getting something like 1% to 1.5% yield range. Just trying to think how -- whether should think about that as you're conservative to your guidance and we should look at it through the same lens that we've looked at your guidance the last couple of quarters, and which you has -- you've managed to come in better than. I'm wondering, is there anything in particular, dry docks or something in the comp, that is more concrete that would make the number in that range. 
Arnold Donald: Look, I think the reality is, yes, we have beaten a number of quarters in a row. In one quarter, that won't happen and, hopefully, it's not any quarter soon, but it's bound to happen eventually. We always give our best guesstimate. There are always things that happen in the market, as you know. I mean, we've gone through a lot of stuff, fuel, currency -- fuel and currency moving together at the same time. We have all kinds of other issues with, you can't go to Istanbul, you can't go here, typhoons, hurricanes, cyclones, all that stuff. So we always give our best estimate, but we don't think we're being ultraconservative. But obviously, we do factor in that things can go wrong. And we want to still perform and we will deliver towards a double-digit return on invested capital, which is our commitment. We're marching hard and fast towards that. And we do have tougher comparisons, as Steve pointed out in his question, in the fourth quarter as well than we had in these other quarters where we've done better than 4% et cetera versus prior year. 
Operator: Our next question comes from the line of Jaime Katz with Morningstar. 
Jaime Katz: I'm curious, you guys had mentioned some additional investments you are going to be making in the fourth quarter. If you would be willing to elaborate on any of them and how you might think they might add to the economics of the business, longer term. 
Arnold Donald: Absolutely. So the brands all, reviewing their forward plans, they want to all maintain the momentum they're enjoying and we're getting smarter and smarter about how to invest dollars. So while there is a plan to increase spend versus where we were previously planning, because they recognize opportunities in media and some socials, but also some of our proprietary TV programs that David had mentioned. Those are some areas we've looked at. There are other areas too as well, and we're ramping up investment with some onboard efforts on a number of ships and so on. So that's kind of what's driving it, but they're all revenue related, they're all double-digit return on invested capital related. We see them as smart investments and that's why we're taking a look at increasing. 
Jaime Katz: Okay. And then can you talk about the cruising to Cuba, how you guys are thinking about investing in infrastructure over the long term now that it seems like, at least over the near term, the cruise industry won't be disrupted by any government policies that are coming about? 
Arnold Donald: With the disruptive -- it is disruptive in terms of making investments in ports and whatnot. Not sure we have the freedom to do that under the current regulations. But as you look at it long term, of course, we -- as things evolve, when we are able to invest, we would look forward to co-investment with Cuba or investing directly, if they allow that, to develop ports. Cuba is going to really refresh the Caribbean. Obviously, today, it's a teeny tiny portion of our capacity. You won't to be able to even find the numbers in our overall reporting. But we're excited about Carnival with Paradise sailing out of Tampa starting soon, and this month, still, we are in June. And Holland America, starting up in November, December. So we're very excited about those 2 brands going and following on top the historic year we had with Fathom and [ the billing year ] and obviously, we're applying for the other brands to go. But it will be a while before we can actually financially invest in developing port infrastructure. That doesn't mean the Cubans won't do it themselves, though. 
Jaime Katz: Okay. And then just lastly, can you just comment on capital allocation? I know that you noted that there was a new share buyback or an increase to the repurchase authorization. But with prices at really high levels, at least for share prices, how they run up, how do you think about balancing dividend increases versus share repurchases? 
Arnold Donald: Yes, you bet. First of all, the share price are at historical highs, but obviously, we don't think they're high enough. But having said that, we are always opportunistically looking at the repurchase and will continue to buy back shares. The balance is a board decision. But I'd say, our pattern, historically, has been established with the dollar amounts that we've done of over $2.7 billion, I guess since '15 -- 2015 in buybacks. Obviously, we were up to about $1.2 billion in dividend distributions on an annual basis now. So when you look at that, I would say, until the board says otherwise, that's been our historical pattern. 
David Bernstein: And the only thing I will add to that is we have traditionally said that we're targeting a dividend payout ratio of 40% to 50%. And as Arnold indicated, we recently increased the quarterly dividend in April. Well, the board did. 
Operator: Our next question comes from the line of David Beckel with Bernstein. 
David Beckel: Based on our estimates, it looks as if your China capacity will be declining in 2018, somewhere in the high-single digit range. Some of your peers are also in a similar situation. Kind of following on one of the first questions asked. Under the assumption you're optimizing yield and fly cruise makes sense and all that, but what is it about the China market that you feel needs to change in order for meaningful amounts of capacity to be redeployed into that market? 
Arnold Donald: Thank you. First of all, my expectation is that there will be additional capacity deployed in the coming years. In any given year for any specific balance of ships and brands, for us, our decisions are very specific to our brands and the balancing of itineraries around the world and the balancing of optimizing yield. So we will be down next year in China a little bit on capacity. And again, that's not only about China as much about opportunities around the world because our philosophy is we always want to optimize and -- what we generate from our ships. But I don't -- China, long term, is going to be a huge market. We're extremely excited about our partnership with CSSC. That has moved along very nicely. We still have lots of work to do with the trade there in China, with distribution systems. But again, just please keep in mind, the industry is tiny there. I mean, we're very, very, very small. And these are the moves, hopefully. Hopefully, the fact that there's less capacity next year will create the opportunity for yield improvement in China, hopefully. But you can't even guarantee that because it's still a B2B business. There's an, actually, selling to consumers where consumers are saying, "Oh, if you drop the price, I would cruise more." It's really a business-to-business transaction still at this stage. 
David Beckel: Got it. It's very helpful. Just on the revenue management system, is there any color you can give us as to how much, I know this is probably rough math, but how much yields have improved thus far because of specific actions you've implemented on the revenue management side? 
Arnold Donald: To be honest with you, we obviously have internal estimates and stuff on that, which we wouldn't disclose. But the fact of the reality is there's so many variables moving at once. What we do know is that the rollout is progressing very nicely. As we shared with you before, about 1/3 of the inventory, of the brands, the 6 brands that happen to use in the tool, that's -- 1/3 of the inventory is impacted. And it will be close to 100% for those brands in 2018. The brands are tremendously excited about it. It's definitely contributing to a positive result, there's no question about that, and we will continue to contribute positive results for the rest of this year and beyond across multiple brands with it. But I won't segment how much is yield, though, versus how much is other dynamics in the business, demand creation and so on. It's the cumulative effect of all of it. But I have lots of anecdotal things I could share with you on specific itineraries, where yield would mean a difference, but the cumulative effect is definitely positive. 
David Beckel: Would it -- if I could, could I ask about one specific anecdote to maybe highlight your point? 
Arnold Donald: Yes, absolutely. So U.K. team was working on a particular itinerary, and the tool suggested a certain pricing. The team thought that didn't make any sense. They went back in to take a hard look at the tool itself to see what was wrong with it, why was it suggesting this. They couldn't find anything wrong with it, so they decided to trial on that particular itinerary and ended up generating -- consuming more yield because they ended up, instead of dropping price, taking the price up. And when they further analyzed it, the tool gives you a lot more granularity. When they further analyzed it, they can see, by meta, what was going on and why the tool recommended an increase in certain metas and then leaving the meta where they were being challenged, flat as opposed to reducing the price. And so in the end, it produced significantly more yield in that particular itinerary that would have been achieved otherwise. So there's lots of those kinds of examples. But overall, it's allowing our people, to a much more granular level, look at itineraries at different points in time. The tool provides great inquiry in the end. It requires yield management by our yield experts and young revenue scientists. But it allows just much, much more granular inquiry and execution in terms of smaller and more frequent price rules. 
Beth Roberts: And meta is a cabin category. 
Arnold Donald: Yes, meta is a cabin category. Beth wanted to make sure you understood what that was. 
Operator: Our next question comes on the line of Harry Curtis with Nomura. 
Harry Curtis: To follow up on your comments about the fourth quarter, sorry to beat a dead horse. But can you -- are there any specifics that you're really worried about? And has the tone of the business in your key markets changed in the fourth quarter to lead you to have a bit more conservative outlook? 
Arnold Donald: There's nothing in terms of the business that we're particularly concerned about, just the normal stuff that happens every year. But as I mentioned before, part of the yield difference is the fact of a tougher comparison, fourth quarter last year, fourth quarter this year versus the other quarters to the previous quarter. But other than that one specific dynamic that would drive something that looks differently, there's nothing in particular that we're concerned about, looking ahead, that's different than we would be every year, at this time of year. 
Harry Curtis: Okay. And then a quick question on supply growth. It looks to me like your supply growth in 2018 should be up just under 2%, and I'm curious how you see just the overall supply growth shaping up in 2018 for your core markets in Europe and the Caribbean. 
David Bernstein: Sure. Yes, we can give you that detail. 
Beth Roberts: Caribbean for 2018 versus 2017, for us, is up 4% to 5%. The Europe market is up 3% globally. Alaska is up 7% to 8%. In total, we're up 2.5%. So we are seeing capacity reductions in Australia and slightly in China. 
Arnold Donald: And for the industry? 
David Bernstein: The industry capacity... 
Beth Roberts: In 20... 
David Bernstein: In 2018, it's 5.9%. 
Arnold Donald: Yes, it's 5%, almost 6% at this point. 
Harry Curtis: Okay. And last question... 
Arnold Donald: And -- go head. 
Harry Curtis: Well, I just wanted to shift gears. You had commented that you had an outlook, including the next 3 quarters, and David, if you could talk about what percentage you've roughly booked for the first quarter of next year's. Typically, it should be around 35% to 40% at this point. And kind of how's the tone looking, at least at the early part of next year, in terms of occupancy and pricing. 
David Bernstein: Okay. Yes, I can give you. So Harry, we have traditionally said that like for the next few quarters, for the current quarter, we're 80% to 90% booked is the historical range. For the next quarter out, which would be fourth quarter, 50% to 70% is the historic range. First quarter would be 30% to 50%, and second quarter would be 15% to 25%. And we are approaching the high end of all the historical ranges, as with the current booking curve. 
Harry Curtis: Okay. And at prices that are nicely ahead or well ahead or blowing the doors off ahead? 
David Bernstein: As we said -- as Arnold said for next year, where the prices are ahead, I'd rather not give some particular adjectives to describe them at this point only because it's early and we're not ready to give guidance for next year. 
Operator: Our next question comes from the line of Tim Conder with Wells Fargo. 
Timothy Conder: Circling back, Arnold, to the demand creation comments in fourth quarter to drive team. Is that would you say, skewed to any one region, in particular more so than the other? I mean, it looks like Europe and North America are performing the best. Would it be skewed any way to Australia, New Zealand, Asia? Or is that fairly well balanced across regions? 
Arnold Donald: I would say, most of the request for increases are in the core markets, it's in U.S. and Europe. They're very strong markets, but people see opportunities to have them be even stronger. And that's where the requests are today and what we factored into the guidance. 
Timothy Conder: Okay. And if you would, David or Beth, just maybe repeat your commentary on Australia and China as far as your capacity in those markets. And then to follow-on to that question, you said the industry is going to be up 5.9%. Any color on the industry level by those regions that you gave for Carnival core? 
David Bernstein: Yes, we won't -- Tim, we'll have the industry data at the third quarter call. Today, we've got our data in total for 2018. 
Arnold Donald: Just another comment on that. Obviously, we had some significant capacity increase, for example, in the Caribbean this year. I remember a number of analysts were expressing consolation last year about that. And obviously, we've done very, very well. I think the reality is as long as we're creating the demand to absorb the capacity, then the industry can continue to do very well. We certainly plan to do well because we are going to create the demand. We are going to measure capacity growth for our brands, and we are doing the things necessary through enhanced revenue management, techniques using yield in our existing platforms that we already have for Carnival and Costa. 
David Bernstein: And as far as China and Australia are concerned, we're talking about mid-single-digit capacity declines in each of those deployment markets. 
Arnold Donald: And then just to pile on a little bit, because we're getting a lot of questions on the fourth quarter, I just want to emphasize to you all that fourth quarter is ahead of a record fourth quarter last year, and there's absolutely no loss of momentum. 
Timothy Conder: One last question. As you rightly said before, Arnold, in China, you get SARS one year, typhoons, you get South Korea, whatever. I mean, there's always something going on. So the normal -- I guess that is the normal. But have you seen, just in general, over the last 12 months, for yourselves, the industry, however you want to comment on this, has the cost structure, profitability structure changed in any way materially, either up or down, over the last 12 months? 
Arnold Donald: Over the last 12 months, not so much. I would say the biggest change over the last 12 months, if you look at our quarter -- our earnings call today and compare it to earnings last year, is the double whammy of fuel and currency. Historically, it never moved together. And for the past year or so, they have been moving together and often in a negative way. And so that's a big thing to overcome. We've overcome it operationally with performance, but that would be the one fundamental thing that I would say changed. And despite all of the stuff going on, we've had 4 quarters of 4% yield improvement. 
Operator: Our next question comes from the line of Jared Shojaian with Wolfe Research. 
Jared Shojaian: Just a quick clarification. The 5.9% global industry supply growth that you referenced, is that net or gross? And then, can you give us the comparable number in 2017? 
David Bernstein: Sure. It is a gross number. The only thing we do is anything that we know of, we would take out. But obviously, at this point, there could very well be some unplanned retirements. And... 
Beth Roberts: And 2017 was 5.3%. 
Jared Shojaian: Okay, that's really helpful. And then, you talked about some tougher comparisons in fourth quarter, but you're also going to have tougher comparisons once we get into 2018. So how should we think about that 1% implied yield in the fourth quarter in relation to 2018? I guess what I'm asking is, a 1% exit rate going into 2018 would imply that demand has to get better in order for you to do better than a 1% yield in 2018. Is that the right way to think about that? Or is there anything I'm missing? I know there's geographical differences in the fourth quarter versus 2Q and 3Q next year. But can you help me think about that a little better? 
Arnold Donald: Yes, we're not ready, obviously, to give guidance for 2018 yet. We were just giving you guys an early preliminary tone, which you shouldn't read too much into because it's such a small percent of the business at this point that we have line of sight on. So we're not ready to give any guidance, but all the things you just mentioned are true. There's a mixed difference. We have to see what we actually do. We're giving you a guidance for the fourth quarter. We have to see what we actually perform before we can begin to have line of sight on how we're going to perform more clearly before we give some. But it is ahead at higher prices, and that's what we can say, but we're not ready to give guidance in terms of percent. 
David Bernstein: And the booking currency are at the high end of historical range, and we've got good booking momentum and we feel very good about the business. 
Jared Shojaian: That's great. And then just one last one. You called out some incremental costs for this year. Are those 50 basis points of incremental costs unique to this year? Or will you expect them to be recurring again in 2018? 
Arnold Donald: We've been able to maintain the momentum that I shared with you guys previously of targeting $75 million a year in cost savings. And as I've told you, some of that will go to the bottom line and some we might reinvest to drive yield. So right now, the brands have put forth some pretty convincing arguments of additional revenue improvement by making investments, so we're doing it. But we'll be reviewing that as we go. I wouldn't consider it a pattern or projection for we're going to always do anything like that. But in this particular case, with the specific proposals they presented, with the evidence they put with it, it seems like a smart investment to make. 
David Bernstein: And keep in mind, we do round everything to the nearest 0.5 point, so it's not necessarily a full 50 basis points. 
Operator: The next question comes from the line of Brian Egger with Bloomberg Intelligence. 
Brian Egger: Just a follow-up question regarding the per city cost question. I think you've kind of covered this. But to understand it, to the extent that you've seen increases in investments in proprietary TV program, advertising costs, is the change, albeit small in cost, unit cost guidance for the full year, a function of the timing of things like marketing advertising or the absolute level? Or -- any color you can add there would be helpful. 
Arnold Donald: No, it would be absolute level. We were actually looking at investing more than we would have at the beginning of the year. So we see the opportunity and we're taking advantage of it. 
Operator: The next question comes from the line of [ Peter McMullin ] with [ Tiger Management ]. 
Unknown Analyst: Several of us were impressed with the depth... 
Beth Roberts: [ Peter ]? 
David Bernstein: [ Peter ], can you hear us? 
Arnold Donald: Are you guys there? Hello? 
David Bernstein: Operator? 
Beth Roberts: [indiscernible] 
Arnold Donald: I can hear somebody. Now we can hear you, [ Peter ]. 
Operator: He just disconnected. Our next question comes from the line of Dan McKenzie with Buckingham Research. 
Daniel McKenzie: Arnold, following up on your commentary about [ under-penetrated ] cruise markets around the world. I believe there are a number of ports in China that are developed but not yet home ports for the industry. And I'm wondering what the plans are today to expand the number of points there. And at what point would that make sense? 
Arnold Donald: As you mentioned, there are several new cruise berths being added in China, where we have berths being constructed in Dailing, Shanghai, Sanya, Hainan Island. There are several others moving forward toward construction on the approval process. So there are quite a few ports being developed, which again, reinforces the point we've been making that, over time, we expect China to be the largest cruise market in the world. We'll obviously take advantage of those. We have to build the distribution. But as you know, China often builds in anticipation of demand coming. But we are obviously in discussion with all those ports about existing tonnage that we have in the country and possible new tonnage that we will bring in future years. 
Daniel McKenzie: Understood. And then, just a second question here, just given kind of the revenue management system, I'm wondering what the opportunity is to source elsewhere in the region for the China cruises. So in Hong Kong, Singapore, Taiwan, even Malaysia, I'm wondering what you're doing today, if anything. And is there a revenue opportunity from optimizing these various sourcing markets? 
Arnold Donald: I think that's a great point. There's considerably opportunity not only in China but throughout Southeast Asia, both as source markets and, clearly obviously, as destinations now that Chinese travelers are already traveling to and could choose to take advantage of a cruise option in those travels. So both from a sourcing standpoint, Malaysia, Vietnam, Thailand, but clearly, as destination opportunities for Chinese travelers. And so we have an overall strategic footprint in place and have strategic plans in place to take advantage of both the fly cruise opportunity as well as sourcing more from those regions. 
Operator: We have a follow-up question from the line of [ Peter McMullin ], [ Peter McMullin Consulting ]. 
Unknown Analyst: Let me try again. Just some of us were wowed by the potential of the Medallion, and I'm just wondering if you could review what benefits you see for the company long term. 
Arnold Donald: As you know, we're excited about it. It's going to launch in November. The first ship experience for the public will be then. Progress has been very exciting with it. Our -- one of the fun things for me to see is how excited our crew is because the technology for us, as you know, [ Peter ], is about enhancing the hospitality experience and it's about enhancing our crew's ability to deliver to the guests what they want, when they want, how they want it, and exactly when they want it. And so we're very excited about that. In terms of the impact, first of all, we'll have to see. We think there's all kinds of opportunities, onboard revenue opportunities, ticket pricing opportunities. There's lot of excitement. But it's brand-new, it's brand-new technology and systems, and we have to leave it out, but we're very excited. 
Unknown Analyst: But in the early days, it would be a competitive advantage to Carnival? 
Arnold Donald: Well, the reality is, as you know, we consider our competition land-based vacations, and not the other cruise coming back because we think we're so much better than them or anything. It's just because if you add up all of the cruise companies to get all the cabins, it's less than 2% of the hotel rooms. And that's why we say we're under penetrated in every market in the world. And so there's great opportunity for cruise for ourselves as well as the other cruise companies. So land-based vacation is really the challenge. We think we already have a great value and experience offering compared to land-based vacations, and we think Ocean will just take that up on a whole other level, but we'll see. 
Operator: We have no further questions on the phone line. 
Arnold Donald: Excellent. Thank you all very much. We greatly appreciate your interest. We look forward to meeting with you on the earnings call in the next time and seeing you in between. So everybody, be safe and good luck on draft day. Hopefully, your team will get the player you want. Have fun. Take care. 
David Bernstein: Bye-bye, everybody. 
Operator: Ladies and gentlemen, that concludes today's call. We thank you for your participation and ask you to please disconnect your lines.